Operator: Good day, ladies and gentlemen and welcome to the Universal Display's Fourth Quarter 2013 Earnings Conference Call. My name is Douglas and I will be your conference moderator for today's call. During today's presentation all participants will be in a listen-only mode. Following the presentation the conference will be open for questions. (Operator Instructions). As a reminder this conference is being recorded for replay purposes. I would now like to turn the conference over to Darice Liu, Director of Investor Relations. Please go ahead.
Darice Liu: Thank you, Douglas, and good afternoon, everyone. Welcome to Universal Display’s fourth quarter earnings conference call. Joining me on the call today are Steve Abramson, President and Chief Executive Officer; and Sid Rosenblatt, Executive Vice President and Chief Financial Officer. Before Steve begins let me remind you today’s call is the property of the Universal Display. Any redistribution, retransmission or rebroadcast of any portion of this call in any form without the expressed written consent of Universal Display is strictly prohibited. Further this call is being webcast live and will be made available for a period of time on Universal Display’s website. This call contains time-sensitive information that is accurate only as of the date of the live webcast of this call, February 27, 2014. All statements in this conference call that are not historical are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, such as those relating to Universal Display Corporation’s technologies and potential application of these technologies, the company’s expected results as well as the growth of OLED market and the company’s opportunities in that market. These include, but are not limited to, statements regarding Universal Display’s beliefs, expectations, hopes, or intentions regarding the future. It is important to note that these statements are subject to risks and uncertainties that could cause Universal Display’s actual results to differ from those projected. These risks and uncertainties are discussed in the company’s periodic reports filed with the SEC and should be risk referenced by anyone considering making any investments in the company’s security. Universal Display disclaims any obligation to update any of these statements. Now I would like to turn the call over to Steve Abramson.
Steven V. Abramson: Thanks Darice. And welcome to everyone on today’s call. I’m pleased to report that we ended the year with a superb fourth quarter. Revenues were $49.5 million, operating profit was $19.4 million and earnings were $1.24 per share. Please note that the earnings number includes one-time item of deferred income tax expense and release of income tax valuation allowances netting a benefit of $41.4 million. Excluding that benefit, our adjusted earnings were a record $0.35 per share. For the year we achieved record revenues of $146.6 million, operating profit of $38.2 million and EPS of $1.59 per share. This also includes a one-time net benefit. Excluding that, our adjusted earnings were a record $0.70 per share for the year. Sidney will provide further details in a few minutes. Looking back at 2013 we achieved key milestones that have reinforced our foundation for future growth. Our material sales more than doubled year-over-year to $95.7 million. A large factor of this growth stemmed from the adoption of our green emitters and green host at the end of the first quarter. According to our top customer, a smartphone, which included our green materials has approximately 25% higher power efficiency versus its older models. Additionally we have other customers evaluating our green material. In June we changed our ticker symbol to OLED, reinforcing our brand as the top OLED material and IP company in the world. In November, our partner PPG opened a second facility to support the rising of demand for our phosphorescent OLED materials. In the lighting market we recently entered into new agreements with the leading companies and developmental activity intensified. In November we’ve signed an evaluation agreement with Phillips and just last month we signed the license agreement with Japanese chemical conglomerate Kaneka. We are delighted to close 2013 on such an outstanding note. As we look to 2014, the OLED industry is clearly developing into an expanding growth market. In just the past two months, a number of OLED products were introduced and capacity plans reaffirmed. At January CES, both LG and Samsung showcased new 4K OLED TV. Last month LG Display reaffirmed its 8G OLED TV commitment with its first line slated to start ramping in the second half of this year. LGD also noted that it is looking to double its flexible display capacity. Samsung Display reiterated plans to broaden its OLED portfolio to include mid-end smartphones and high-end tablets. And just this week at Mobile World Congress, Samsung Electronics unveiled the Galaxy S5 next-gen smartwatch and the Gear Fit. That activity has not been limited to Korea as OLED discussions are [ongoing] in China and Japan. Also generating an increased level of OLED excitement are flexible displays, wearable displays and OLED lighting. We believe all of this sets 2014 to be another extraordinary year. During the fourth quarter there were three patent office decisions relating to our early fundamental phosphorescence patents. We issue press release on all three. To summarize we had two favorable decisions with European 395 and Japanese 024, one unfavorable decision with European 238. As we have noted in the past, any one decision favorable or unfavorable, anyone patent, anyone jurisdiction is not expected to impact our current or future commercial business or agreements. The bottom line IP opposition is part of the course for any company that has significant and important intellectual property. We, with a growing comprehensive global IP framework remain confident in our upward trajectory. Now for a review of the fourth quarter and fiscal 2013 financials, I’ll turn the call over to Sid.
Sidney D. Rosenblatt : Thank you, Steve and again thank you everyone for joining our call today. Let me review our results for the fourth quarter and full year in more detail before commenting on our 2014 guidance. We had another exemplary quarter. Revenues for the fourth quarter of 2013 were $49.5 million compared to fourth quarter 2012 revenues of $28.1 million. Total material sales were $25.5 million in the fourth quarter of which commercial was $23.7 million. The breakdown of commercial material sales by color for the fourth quarter of 2013, the prior quarter and the comparable year-ago quarter are; green emitter sales were $11.6 million in the fourth quarter, down 14% sequentially from the third quarter, $13.6 million but up year-over-year from 2012, $2.3 million. As expected, seasonality and year-end inventory corrections impacted our material volumes. Green host sales were $9.3 million in the fourth quarter, down 17% sequentially from the third quarter's $11.2 million. In the fourth quarter of 2012 we did not have any Green host sales. Red emitter sales were $2.8 million in the fourth quarter, down 19% sequentially from the third quarter's $3.4 million and down year-over-year from 2012, $3.1 million. Our fourth quarter 2013 royalty and license fees were $23.1 million, which included Samsung's bi-annual license fee of $20 million. For 2014 Samsung's license revenues are expected to be $50 million. Material costs for the fourth quarter were $7.7 million, sequentially down from third quarter's $9.8 million. This decrease was due to lower material volumes from Q4 seasonality. Fourth quarter material gross margins were approximately 70%, up sequentially from the third quarter's approximately 68%. Fourth quarter operating expenses, excluding cost of materials were $22.3 million, up from last year's $18.8 million and up year-over-year from 2012, $19 million. Sequential increases in OpEx stem from bonus accruals, accrual adjustments and increased PPG R&D expenses. Operating income was $19.4 million for the fourth quarter of 2013 compared to $8.4 million for the fourth quarter of 2012. Turning to taxes. Due to our year-over-year profitability for the past three years and positive expectations regarding future profitability we released some of our income tax valuation allowance in the amount of $59.4 million in the fourth quarter of 2013. Netting this release and one-time deferred income tax expenses of $17.9 million we incurred a benefit of $41.4 million in the December quarter. Beginning in the first quarter of 2014 we will begin reporting an effective tax rate. We are currently modeling a quarterly tax rate of 30% but results may vary. Note that outside of our Korean withholding tax of 16.5% on license fees and 1% on U.S. alternative minimum taxes we did not expect to pay cash taxes for 2014 due to our NOLs of $99.7 million. For the fourth quarter of 2013 we reported net income of $57.9 million or a $1.24 per share in net income. Excluding the earlier discussed net benefit of $41.4 million our net income would have been a record $16.5 million or $0.35 per share, up 200% from the fourth quarter of 2012's $5.4 million or $0.12 per share. Turning now to our results for the fiscal year ended December 31, 2013; as Steve mentioned earlier we achieved record revenues of a $146.6 million, a 76% increase from the $83.2 million generated in 2012. Material sales for 2013 were $95.7 million, a 115% increase from $44.5 million in 2012. Operating expenses, excluding cost of materials and the amortization expense related to acquire technologies was $68.5 million, up 14% from $60 million in 2012 and in-line with our outlook of 10% to 15% year-over-year increase. We expect 2014 operating expenses, excluding material cost to increase approximately 10% to 15% year-over-year. Operating income was $38.2 million for 2013, up 180% from $13.7 million in 2012. The company reported net income of $74.1 million or a $1.59 per share for the full year 2013. This included the earlier mentioned one-time net benefit of $41.4 million. Excluding that net benefit adjusted net income was $32.6 million or $0.70 per share for 2013, up over 230% to 2012, $9.7 billion or $0.21 per share for 2012. Moving to the balance sheet we exited 2013 with $273 million in cash and short-term investment, up nicely from $244 million in 2012. The increase was driven primarily by a $45 million cash generated from operations during the year. Now to our 2014 guidance, based on our current outlook we expect revenues for 2014 to be in the range of $190 million to $205 million, reflecting strong double-digit growth of 30% to 40% over the prior year, based primarily on growth in the second half of the year. Excluding the $15 million in Samsung license fees our material sales are forecasted to grow robustly to over 50% year-over-year. We are proud of the fantastic progress we achieved in 2013 and we expect 2014 to be another exceptional year of growth. With that let me turn the discussion back to Steve.
Steven V. Abramson: Thanks Sid. We had record 2013, which included a number of milestones for us and the industry. The commercial adoption of our green emitters and hosts, three consecutive quarters of profitability, the introduction of conformable displays and classic substrate, wearable displays starting to take off and 4K OLED TV prototypes. Entering 2014, we are excited for the continuing growth journey of OLEDs. I would like to thank our dedicated employees around the globe who helped make 2013 a success. I would also like to recognize our customers, partners and valued shareholders for your continued support. On that note operator let’s begin the Q&A session.
Brian K. Lee - Goldman Sachs & Co.: Hey guys, thanks for taking the questions. Quick one on the fourth quarter to start off, did the revenue income from materials are not Samsung licensing sales. And I guess what drove that since you had a pretty tight range when you updated the guide last November.
Sidney D. Rosenblatt : I’m sorry Brian, could you just repeat the very first part of your question?
Brian K. Lee - Goldman Sachs & Co.: Yes, so just for the fourth quarter revenue Sid. You guys came in above the revenue range that you had given last November and that range was pretty tight at $2 million range. So I was wondering if it was driven by upside in materials or non-Samsung licensing revenue relative to what you guys are internally expecting. And what might have driven that?
Sidney D. Rosenblatt: It was actually a pretty much across the board. There wasn’t one thing driving it versus another. It just ended up being a better quarter than we had anticipated. There is not anything specific.
Brian K. Lee - Goldman Sachs & Co.: Okay, that’s fair enough. And then sorry if I missed this, but I know you got into some of the granularity on the revenue outlook for 2014. How much are you expecting your non-Samsung licensing revenue to grow here this year? Because it looks like it’s been on pretty healthy upward trajectory and took another step up in Q4. So just wondering what type of trends we might be expecting here over the next 12 months.
Sidney D. Rosenblatt: We gave our guidance of $190 million to $205 million, that a fairly broad range. And we do know that the Samsung earn out is $50 million. All we essentially did is just pull that out. We haven't really given guidance on each segment of our revenues between material and licensing fees but we do believe that our materials will be up about 50%.
Brian K. Lee - Goldman Sachs & Co. : Okay. Last one from me and then I'll jump back into the queue. Another one on guidance I know, Sid you said in the past you are not quite yet comfortable giving out earnings guidance. But can you at least walk us at a high level through how we should think about operating leverage in the model. If I look at your 2013 numbers earnings tripled on 70% plus top line growth, so clearly there is a lot of leverage here but a number of moving pieces. So wondering if there is some way to bracket the earnings potential with your 35% top line growth for this year? Thank you.
Sidney D. Rosenblatt : Brian, I think the best way that I can do that without going into details is I think we've given a range of 10% to 15% increases in our OpEx. We told you we expect our margins to be approximately 60% to 70% across the board, 40% to 50% on host and 70% to 80% on emitters. And then if you put in effective tax rate in there of approximately 30% essentially that gives you the answer that you are looking for.
Operator: Our next question is from the line of Vishal Shah with Deutsche Bank. Please go ahead.
Unidentified Analyst : Hi, this is [Suzy Min] for Vishal Shah. Thank you for taking my questions. I wanted to get a little bit more detail on the Kaneka license agreement that you guys spoke about earlier. And how can we think about the revenue as it relates to that or any similarities between what we are seeing on Samsung?
Steven V. Abramson: The Kaneka license agreement is one that continues to be our standard model certainly for licensing companies as an upfront component and a royalty component as well for lighting, it's only for lighting.
Unidentified Analyst : Okay great. My second question is on the gross margin side. I think you said 40% to 50% on the host and that seems quite a bit lower than what I think a couple of years ago it's something closer to 65%. So is it mostly because of volumes and the pricing agreements that you are having, if you could just provide a little bit more detail, that would be helpful?
Sidney D. Rosenblatt : Yeah I mean host materials commercially just really started in 2013 and we've been pretty consistent for the last, I believe year or two with 40% to 50% for host. It may have been very early when we were selling just developmental quantities it may have been higher. But realistically these are the numbers that we have talked about almost all year. And the 70% to 80% for the emitters was pretty much consistent with what we've said all of 2013. In the host business it is a competitive business.
Unidentified Analyst : Okay, great. And I know you have mentioned last quarter that these margins probably aren't going to change that much?
Sidney D. Rosenblatt : We don't expect them to.
Unidentified Analyst : Okay, great. Thank you.
Operator: Thanks. Our next question is from the line of Hendi Susanto with Gabelli & Company. Please go ahead.
Hendi Susanto - Gabelli & Company : Hi, Steve, hi, Sid.
Steven V. Abramson : Hi, Hendi.
Sidney D. Rosenblatt : Hi, Hendi.
Hendi Susanto - Gabelli & Company: Hi. I think the smart watch opportunity is an exciting one. And would you be able to confirm whether or not like Samsung smart watch like use all the three major materials, the red and green emitter materials and then green host materials?
Sidney D. Rosenblatt : I don't think we can confirm that but we do know that all of their Galaxy products and Notes have our materials in them. I don't know specifically about this, it's a brand new product.
Hendi Susanto - Gabelli & Company: Okay. And then second questions now that we have green host materials for one year would you be able to share let's say the consumption ratio between green host material and green emitter materials?
Sidney D. Rosenblatt : We've given estimates that they are about 2:3:1 and but it really depends on the recipe and it does vary a little bit. We don't sell the host directly, so we don't have -- we can't tie the two of them completely together all the time because as you know we sell our host to NSCC and then they sell it to Samsung and I don't really know when those sales really occur. But we've always talked about it two to three times the quantity.
Hendi Susanto - Gabelli & Company: Okay. And then in terms of the dollar, will it…?
Sidney D. Rosenblatt : For the dollar amount we can give you all the details in a separate call. We can breakdown -- we will breakdown our red and green emitters and host dollars for you.
Hendi Susanto - Gabelli & Company : Okay, yeah. Thank you.
Operator: The next question is from the line of Jim Ricchiuti with Needham & Company. Please go ahead.
Jim A. Ricchiuti - Needham & Co. LLC: Thank you. Good afternoon. Quick question just on the R&D really jumped sequentially. How should we think about R&D going forward? I know you gave some guidance on OpEx.
Sidney D. Rosenblatt : Yeah it sort of something go up and down, its fourth quarter adjustment depends on when we are doing certain things, it depends -- within R&D is our internal R&D there is external R&D, there is a number of factors. I think if you take the full year and apply the 10%, 15% you would be shaping in the right range.
Jim A. Ricchiuti – Needham & Co. LLC: Okay. And Sid if I heard you correctly you are seeing you think your materials revenue is going to be up 50%?
Sidney D. Rosenblatt: Approximately 50%.
Jim A. Ricchiuti – Needham & Co. LLC: Approximately 50%. Just given that kind of increase, is there anything that we should be mindful of in terms of volume driven price breaks when you get into those kind of levels?
Sidney D. Rosenblatt: No, as we said before the contractual price breaks, cumulative volume price breaks we felt that we reached that. There are obviously continuing dealings with customers and always are in small amount but we don't expect any step function as such.
Jim A. Ricchiuti – Needham & Co. LLC: Okay. Thank you.
Operator: Our next question is from the line of Osten Bernardez with Cross Research. Please go ahead.
Osten Bernardez – Cross Research LLC: Hi. Good afternoon. Thanks for taking my questions. So can you provide an update on the rate of involvement with new customers, all the major companies evaluate different ways of using OLEDs, could you sort of comment on what you are seeing, if whether you are seeing any relative change in R&D interest on a per customer basis?
Steven V. Abramson: We can't specifically obviously talk about anything anyone customer does. We are continuing to work with our customers across the board. We haven't seen any change in excitement or interest or R&D efforts that we know that are going on at customers and we'll continue to work and obviously with our guidance going up to 190 to 205, we expect this year to continue to grow significantly.
Osten Bernardez – Cross Research LLC: Got it. And then is there a way of thinking about over the past year you have learned a lot from green material ramp over the nine to 12 months. And how do we think about the usage going forward to 2014 and how you approach the business as you consider commercializing future materials?
Steven V. Abramson: We expect our green to continue to be used obviously and as capacity increases and we have said we expect capacity to increase in the second half of the year, we expect our materials sales to grow as capacity grows. If there may be other materials and other things that we introduced during the year but this is really looking at what we have sold in 2013 should be most what we sell in 2014.
Osten Bernardez – Cross Research LLC: And then lastly from me I guess could you just quickly comment on you discussed before, to what extent has the dialogue changed with their customers following some [inaudible] and late 2013?
Steven V. Abramson: There has been no change and there has no impact on our December 31 to September is opposed to there has been no discussions without this with our customers. It has no impact on us.
Osten Bernardez – Cross Research LLC: Thank you.
Operator: Thank you. Our next question is from the line of Craig Irwin with Wedbush. Please go ahead.
Unidentified Analyst: Hi. This is [Vishu] from Craig. Thanks for taking my question. The first question on can you provide more color on assumptions behind your 2014 guidance, how much do you expect green material price to decline?
Sidney D. Rosenblatt : We can't, we have mentioned before that our revenue guidance is $190 million to $205 million with the Samsung license being $50 million and that's really as much granularity as we can give at this time.
Unidentified Analyst: Okay. So that guidance, can I ask if the guidance includes any expected sales of new materials or new customers in 2014?
Sidney D. Rosenblatt : We have, we deal with every major display manufacturer. We have 15 to 20 customers today in varying volumes and if any company who is gone move into or talks about doing R&D or production of AMOLED we will be talking to and selling materials to.
Unidentified Analyst: And any update you are blue emitter and the red host to with development?
Sidney D. Rosenblatt : Our Blue Emitter is as you know is an ongoing project. There have been no major breakthroughs that we can announce. We have a number of new materials that we are constantly introducing to our customers. There is been really no change as if today in the materials that our customers are using.
Unidentified Analyst: Got it. Thanks for the color.
Sidney D. Rosenblatt : You are welcome.
Operator: Our next question is from the line of Rob Stone with Cowen and Company. Please go ahead.
Robert Stone – Cowen and Company : Hi guys. You mentioned in the prepared remarks that some other customers were looking at Green. Given the commentary that the green material had such a positive effect on power consumption for your bigger customer. What is that, that new customer needs to evaluate before using that material/
Steven V. Abramson: Number of them, this is a process you go through when selling small quantities and larger quantities and we have to go up and back with them. I mean really what you need to have any impact on this is customers having commercial volume capacity. And that’s really where you’re going see any real impact on what any existing -- any new capacity come online and new players that come online. I think the green is the green and it gives them obviously it is very power efficient.
Unidentified Analyst: With respect to the comments about lighting, there is certainly seems to be an uptick in the amount of activity. I think you’ve always characterize lighting as not being that big a contributor to the overall historically. How are you thinking about that market these days in terms of this year next year some number of years on the horizon before it would begin to make a material contribution, let’s say 10% or more of your business?
Steven V. Abramson: I think obviously there has been a lot more excitement in this area. A lot more samples and prototypes and a lot more discussion and we’ve signed another lighting agreement. And I still feel this year will be less than 10%. I think it would be a few more years before makes it significant impact on our revenues.
Unidentified Analyst: Okay. A question on materials, with respect to the -- two main markets are mobile displays and TVs, maybe with slightly different requirements and of course a different recipe between a couple of the big players there. Is there any meaningful impact on the materials from your point of view between TV and mobile or is it just going to be more of the same?
Steven V. Abramson: To be honest all of the TVs that have been made are really made on prototype lines. And they are being made in very limited quantities. I don’t think we can really judge how whether the recipes, building concentrations are higher or lower in any real meaningful way until there is some real production. And we know what the production quantities we’re selling and versus what production quantities they are making or how many substrates they start. At this point it really is we really can’t tell anything from what we have sold so far.
Unidentified Analyst: Okay. And my final question is as you continue to accumulate a nice cash balance, any potential plans for that or comments you can make?
Steven V. Abramson: No, obviously we like to maintain a significant cash balance. I think it’s important in a company an IP Company needs to have a strong balance sheet. If there are opportunities that come up and the Fuji portfolio came up with that year and half ago. If anything comes up we would be interested in looking at it and we want to be able to maintain flexibility at this time.
Unidentified Analyst: Thank you.
Steven V. Abramson: Thanks Rob.
Operator: Thank you (Operator Instructions). The next question is from the line of [Andrew Abrams with JEG Capital]. Please go ahead.
Unidentified Analyst:  Hi guys. Just the question on where you think line conversions are at Samsung in terms of moving from old back planes to new back planes essentially the adoption of green as part of the new back plane. Do you have any feel for where they are in terms of those conversions?
Steven V. Abramson: A, we can't talk about what our customer is doing or how they are doing it. I do believe though to be honest I mean three is a lot more Galaxy 4s and 5s being produced then were some of the older models and Notes. So it seems that all the capacity seems to be moving in that range and in that direction. But specifically about how many lines we had in the earlier gen equipment I really don't have any answer for you on that side.
Unidentified Analyst : Okay. And in the license and royalty for the fourth quarter there was I guess the increment about Samsung was some odd $3.1 million. Was this concentrated with anyone in particular or was it just across the board higher on the commercial side? I mean is it all also being generated on a unit basis or is that I know the normal would be built into the materials for the most. But on the commercial side is that a unit volume oriented dollar amount?
Steven V. Abramson: It is actually -- a piece of it is – and licenses that we have deferred revenue from Epson of $1.5 million that we've disclosed. And that was taken into revenue because they are really not going to move forward on OLED at this time. So that was a non-refundable upfront data, it was creditable towards the license agreement if they entered into one. So a $1.5 million of that is not -- the remainder really is when we sell materials with a built in license fee in it that's what the remainder of that is, it's the license fee portion of material sales.
Unidentified Analyst : Got it. Okay. And just lastly you were talking about a focus on the second half I guess we are talking about the way the quarter is or at least the perception of the way the quarter is playing out. Is that based on capacity increases or is there anything else in there that new materials or anything like that you are building into that?
Steven V. Abramson: It's predominantly based upon capacity.
Unidentified Analyst : Got it. Okay. Thanks very much. Appreciate it.
Steven V. Abramson: You're welcome.
Operator: Thank you. Our next question is from the line of -- from the line of Hendi Susanto with Gabelli & Company. Please go ahead.
Hendi Susanto - Gabelli & Company : Hi again Steve and Sid. Would you be able to share more information on the single encapsulation technology and Organic Vapor Jet Printing technologies as at what stages they are now and what application you are targeting whether it's for TV?
Steven V. Abramson: Well these are long-term projects that we have in our lab and we are looking at them. We don't specifically look for any one application whether it's mobile or TV. We are looking at this point to ensure that the processes work and that they are scalable to equipment – equipment. So as we've said before we have a number of initiatives that we are looking out for the future and this is one of them but it's not specifically geared towards one versus the other.
Hendi Susanto - Gabelli & Company : Thank you.
Steven V. Abramson: Again I'd like to… Operator Thank you. This concludes the question-and-answer session. I'd like to turn the call back over to Sid Rosenblatt for any additional closing remarks.
Sidney D. Rosenblatt : Again I'd like to thank you all for joining us today. And if you have any specific or follow-up questions you know that myself and Darice are always available for your questions. And thank you very much for your time tonight.
Operator: This concludes today's conference call. You may now disconnect.